Operator: Good morning, everyone, and welcome to the MYR Group Fourth Quarter Full Year 2013 Earnings Results Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Philip Kranz of Dresner. Please go ahead, sir.
Philip A. Kranz: Thank you, and good morning, everyone. I'd like to welcome you to the MYR Group conference call to discuss the company's fourth quarter and full year results for 2013, which were reported yesterday. Joining us on today's call are Bill Koertner, President and Chief Executive Officer; Paul Evans, Vice President and Chief Financial Officer; and Rick Swartz, Senior Vice President and Chief Operating Officer. If you did not receive yesterday's press release, please contact Dresner Corporate Services at (312) 726-3600, and we will send you a copy, or you can go to www.myrgroup.com, where a copy is available under the Investor Relations tab. Also, a replay of today's call will be available until Wednesday, March 12, 2014, at 11:59 p.m. Eastern Time by dialing (855) 859-2056 or (404) 537-3406 and entering conference ID 17234884. Before we begin, I want to remind you, this discussion may contain forward-looking statements. Any such statements are based upon information available to MYR management as of this date, and MYR assumes no obligation to update any such forward-looking statements. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Accordingly, these statements are no guarantee of future performance. These risks and uncertainties are discussed in the company's Annual Report on Form 10-K for the year ended December 31, 2013, and in yesterday's press release. Certain non-GAAP financial information will be discussed on the call today. A reconciliation of this non-GAAP information to the most comparable GAAP measure is set forth in yesterday's press release. With that said, let me turn the call over to Bill Koertner.
William A. Koertner: Good morning, everyone. Welcome to our fourth quarter and full year 2013 conference call to discuss financial and operational results. I'll start by providing a brief summary of the fourth quarter and full year results, and then turn the call over to Paul, our CFO, for a more detailed financial review. Following Paul's discussion, Rick Swartz, our COO, will provide an overall industry outlook and discuss some of MYR's opportunities going forward. I will then conclude with some closing remarks and open up the call for your comments and questions. I'm pleased to report 2013 was a record year for MYR in terms of net income, EBITDA and cash flow. For 2013, gross margin rose to 13.8% compared to 11.9% in 2012, and this was a major factor in our improved profitability for the year. EBITDA for 2013 was $84.8 million, which is up about 5% from the $80.7 million level achieved last year. Full year net income and earnings per share also increased on a year-over-year basis. Additionally, our cash position grew by $56.6 million for the year, further strengthening our balance sheet, which we believe is one of the strongest in the industry. Meanwhile, we closed the fourth quarter on a strong note, with higher revenues, gross profit, net income and cash generation as compared to fourth quarter 2012. Fourth quarter 2013 revenue increased to $254.6 million from $247.8 million last year, while gross profit improved to $33.8 million this year compared to $32.9 million in last year's fourth quarter. Paul will discuss our financials in more detail shortly. Throughout 2013, we successfully executed projects, grew operations, explored new markets and made prudent investments in our equipment and people and strengthened our balance sheet. We believe these actions reinforce our position as one of North America's premier providers of specialty electrical construction services. As a result, we entered 2014 with an admirable resume of successfully completed projects of all sizes, a highly skilled workforce, an experienced management team, a leading safety reputation and an extensive fleet and tooling resources. This is also augmented by our strong financial position. These attributes provide us a sound foundation and the flexibility needed to sustain our business model and capitalize on future growth opportunities. We remain optimistic about the future in both our T&D and C&I markets. We believe the electric industry will generate increased momentum in project activity. Utilities are spending more on capital and maintenance projects to increase the reliability of our nation's power grid. We also see an uptick in commercial and industrial activity as the overall economy improves. Now Paul will provide details on fourth quarter and full year 2013 financial results.
Paul J. Evans: Thank you, Bill, and good morning, everyone. Yesterday, we announced our 2013 fourth quarter and full year results. Our revenues for the fourth quarter of 2013 were $254.6 million, which represented a $6.8 million increase compared to the same period in 2012. On a percentage basis, 2013 fourth quarter revenues increased 2.8% over the 2012 fourth quarter. The increase was primarily due to an increase in revenues from a few large C&I projects. On a consolidated basis, material and subcontractor costs comprised approximately 34% of total contract costs in the fourth quarter of 2013 compared to approximately 37% in the fourth quarter of 2012. The amount of material and subcontractor cost as a percentage of overall project costs continues to be highly variable from project to project depending on the client and the project requirements. From a segment standpoint and compared to the 2012 fourth quarter, T&D revenues decreased $3 million to $200.7 million, while C&I revenues increased $9.8 million to $53.9 million. Focusing on the T&D segment. Revenues were $172.6 million for transmission and $28.1 million for distribution in the fourth quarter of 2013. This compares to $149.8 million for transmission and $53.8 million for distribution for the fourth quarter of 2012. Material and subcontractor costs in our T&D segment comprised approximately 31% of total contract costs in the fourth quarter of 2013 compared to approximately 33% in the fourth quarter of 2012. Transmission revenues increased in the fourth quarter of 2013 as compared to the fourth quarter of 2012 as increased work on mid-sized transmission projects more than offset lower revenues from several large projects, which were nearing completion at the end of 2013. In the fourth quarter of 2013, revenues from our transmission business were 67.8% of total revenues compared to 60.5% in the fourth quarter of 2012. Distribution revenues decreased in the fourth quarter of 2013 compared to the fourth quarter of 2012, due primarily to a $19.7 million decline in storm work. We recorded $4.8 million of storm work in the fourth quarter of 2013 compared to $24.5 million in the fourth quarter of 2012. Hurricane Sandy generated significant storm work in the fourth quarter of 2012. C&I segment revenues increased by 22.2% to $53.9 million in the fourth quarter of 2013 from the fourth quarter of 2012, primarily due to increased revenue on a few large projects. Material and subcontractor costs in our C&I segment comprised approximately 46% of the total contract costs in the fourth quarter of 2013 compared to approximately 57% in the fourth quarter of 2012. Overall gross profit in the fourth quarter of 2013 increased to $33.8 million from $32.9 million in the fourth quarter of 2012. Our gross margin was 13.3% in the fourth quarter of both 2013 and 2012. Increased gross profit was attributable to higher transmission and C&I revenues, partially offset by lower storm work. Approximately 80 basis points of the gross margin in the fourth quarter of 2013 was due to improved contract margins on several large transmission projects as a result of increased productivity levels, cost efficiencies, additional work and effective contract management. Our fourth quarter 2012 gross margins benefited by approximately 100 basis points due to the Hurricane Sandy storm work. Fourth quarter 2013 SG&A expenses were $18.1 million compared to $17.5 million in the fourth quarter of 2012. The increase in SG&A expenses was primarily due to increased legal reserves and expenses pertaining to ongoing litigation. SG&A as a percentage of revenues was 7.1% for the fourth quarter of both 2013 and 2012. Fourth quarter 2013 EBITDA was $23.5 million compared to $22.3 million in the fourth quarter of 2012. Our provision for income taxes declined to $5.6 million in the fourth quarter of 2013 compared to $5.7 million in the same quarter of 2012. Our effective tax rate of 35.7% was 1.1% below the 36.8% in the fourth quarter of 2012. The decline in effective tax rate was primarily caused by lower state taxes due to changes in the mix of business between states. Fourth quarter 2013 net income was $10 million or $0.46 per diluted share compared to $9.8 million or $0.46 per diluted share in the fourth quarter of 2012. Shifting to full year 2013 results. Revenues decreased $96.3 million or 9.6% to $209.7 million compared to $999 million in 2012. The majority of the decrease was a result of lower material and subcontractor costs associated with large transmission projects. Material and subcontractor costs in the T&D segment comprised approximately 27% of total contract costs in the full year of 2013 compared to approximately 42% in the full year of 2012. Revenue from storm work decreased $26.7 million to $14.6 million in 2013 compared to $41.3 million in 2012. Hurricane Sandy generated significant storm work in 2012. Our overall gross profit for the full year of 2013 increased to $124.9 million from $118.7 million for full year of 2012. Our gross margin increased to 13.8% versus 11.9% in 2012. Increase in both gross profit and gross margin in 2013 was primarily due to better project execution, higher equipment utilization and the underlying mix of contract components, which included less material and subcontractor costs and more of the company's labor and equipment costs on a relative basis. Approximately 80 basis points of the 13.8% gross margin in 2013 was due to improved contract margins on several large transmission projects as a result of increased productivity levels, cost efficiencies, additional work and effective contract management. Full year EBITDA margin increased to 9.4% of revenue from 8.1% in 2012. Meanwhile, full year net income increased to $34.8 million in 2013 compared to net income of $34.3 million in 2012. Full year diluted earnings per share were $1.61 for 2013 compared to $1.60 per diluted share in 2012. We invested $42.7 million in property, plant and equipment in 2013, which included $3.7 million to support the Alaska asset acquisition compared to $37.2 million in 2012. We currently expect 2014 capital spending to be similar to 2013 capital spending. Total backlog at December 31, 2013, was $326.1 million, consisting of $189.3 million in the T&D segment and $136.8 million in the C&I segment. Total backlog at December 31, 2013, decreased $117.9 million from the $444 million reported at September 30, 2013. T&D backlog decreased $108.6 million or 36.5%, while C&I backlog decreased $9.3 million or 6.4% compared to the last quarter. The reduction in the 2013 backlog was a result of substantial construction activity performed throughout the year and many multi-year projects awarded in previous periods. These projects have not been replaced with projects of similar size and scope. Moving to the balance sheet. Stockholders equity increased to $296.1 million at December 31, 2013, from $254.7 million at December 31, 2012. Our return on equity for the full year ended December 31, 2013, was 13.6% as compared to 15.9% for the prior year period. We believe our return on equity is one of the highest in our industry. At December 31, 2013, we had approximately $76.5 million in cash and cash equivalents, no outstanding funded debt and $156.6 million in availability under our credit facility. Our cash balance increased $56.6 million from December 31, 2012, as cash from operating activities was partially offset by cash used in our continued investment in fleet, equipment and tooling. As of December 31, 2013, we had $18.4 million in letters of credit outstanding under the credit facility. We did not repurchase any shares in 2013 under the $22.5 million share repurchase program, which expires on August 29, 2014. In conclusion, solid execution on our jobs resulted in higher revenues, gross profit, net income and EBITDA for the fourth quarter of 2013. With our strong balance sheet, we believe we are well capitalized for sustained organic growth, as well as for possible strategic acquisitions. I'll now turn the call over to Rick Swartz, our Chief Operating Officer, who will provide an overall industry outlook and our view for MYR's opportunities.
Richard S. Swartz: Thanks, Paul, and good morning, everyone. Across the country, MYR project teams remain focused on strong project execution and contract management, while our T&D and C&I estimating teams are evaluating and bidding on a steady flow of opportunities. We have increased efforts to expand our presence in both new and existing markets and have strengthened our internal resources throughout the organization in order to further expand MYR's position as a premier provider of specialty electrical construction services. We believe that our solid portfolio of work and experienced project teams will provide us with an additional edge as we compete for future opportunities throughout the country. We have been successful in growing and retaining project teams that have demonstrated continuous improvement in areas of safety, productivity and efficiency. While the timing of large project bidding activity and subsequent construction is likely to remain highly variable from quarter-to-quarter and even from year-to-year, we believe the overall market for large transmission projects will remain favorable over the long term. The fundamental need for increased system reliability and renewable resource delivery remain the key catalysts for generating large transmission project activity. We anticipate a fairly robust bidding environment this year based on the pipeline of major transmission projects that we see, coupled with the large capital spending initiatives by several current and potential customers. We expect that construction start dates on these anticipated projects will begin later this year or in early 2015. In the western U.S., some of the products we anticipate coming to market includes TransWest Express, PacifiCorp's Gateway West and the Baron Rich projects of the Los Angeles Department of Water and Power. In Texas, ERCOT transmission providers expect to complete more than $3.6 billion in projects between 2014 and 2018, including additions, upgrades or other improvements to more than 3,300 miles of transmission lines and equipment. Many of the new projects identified will support demand growth due to increased oil and natural gas development exploration and related economic expansion throughout Western and Southern Texas. In the Midwest and Great Plains, potential projects include Ameren Illinois River Project, ITC's MVP Projects 3 and 4, the Big Stone to Brookings Project for CapX2020, Antelope Valley to Neset Project for Basin Electric Power and Sibley to Nebraska City Project for Transource, which is a joint venture between AEP and KCP&L. In the Northeast, potential opportunities include National Grid's portion of the Interstate Reliability Project, as well as PSE&G's recently approved investment of $1.2 billion in 345kV transmission upgrades. The overall market for all sizes of transmission-related projects remains strong throughout the U.S. Many of our utility customers continued, with an emphasis on capital spending to upgrade their systems. And as a result, we have seen an increase in similar to medium-sized transmission-related projects. The increased activity is primarily due to reliability and economic drivers, as well as additional transmission needs to accommodate the changing mix of generation, required to integrate renewable generation and replace mandated coal plant retirement. Overall, we anticipate continued opportunities for project activity and growth in all areas of the countries where we have recent experience and a strong base of operations. We have also been diligent in our business development activities in new markets such as Alaska, California and Canada, and we anticipate opportunities to grow our operations in these new geographical areas. Turning to the distribution market. As we noted on our last call, we are noticing signs of recovery after years of deferred spending. Although we continue to believe that the primary focus by many of our utility clients will continue to be on the repair, maintenance and construction of transmission-related assets, we also believe there will be an increasing focus on the expansion, repair and maintenance of distribution assets. We expect that utilities will continue to augment their internal workforce with contractor crews, which should continue to provide opportunities for MYR. In addition, the push to harden assets against storm damage and the increased development in new housing could have a positive impact on the demand for distribution services going forward. Shifting to our C&I business, the momentum in bidding activity experienced in 2013 has continued in the first quarter of 2014 in both our Colorado and Arizona markets. Multiple key markets in Colorado, including health care, data center, airport and industrial, continue their expansion and remain consistently strong markets for us. Our long-term relationship with clients in these markets is leading to increased opportunities in states surrounding Colorado and Arizona, particularly Utah, Wyoming, Nebraska, New Mexico and Texas, where our clients have other facilities. We believe these opportunities will allow us to expand our C&I business beyond our current footprint. We are also seeing increased activity in educational facilities and high-rise residential and office construction, and we continue to expand our internal resources to pursue various communication and electrical projects in support of these growing markets. Although competition in the C&I sector remains strong, we are one of the few electrical contractors in Colorado and Arizona with the scale, expertise, experience, resources and safety record necessary to successfully execute larger and more complex commercial and industrial projects. As an industry leader in the large project niche, we believe we are well positioned to win many of these future opportunities. As we continue into 2014, we remain optimistic about our prospects for growing in our existing markets, as well as those outside of our current geographic footprint. Our strong management and experienced operational teams, industry-leading safety performance and financial strength provide us the tools we need to continue to expand our business over the next several years. Thanks to everyone for your time today. I'll now turn the call back to Bill, who'll provide us with some closing remarks.
William A. Koertner: Thank you for the update, Rick. Finishing the quarter with no debt and a growing cash and equity position provides MYR the resources and financial strength to continue to pursue growth strategies on a variety of fronts. Whether exploring additional organic growth in existing markets or evaluating possible acquisition opportunities in new markets, we intend to maintain our disciplined approach and proceed in the best interest of our stockholders. This discipline has, and will continue to, serve as MYR's key to success in all areas of our organization. Despite strength in our management operational safety and resource capabilities, we are focused on additional improvements in all areas to maintain our solid industry reputation. We will continue our efforts to recruit top industry talent and develop our people in order to chart continued success. We will continue to invest in our fleet and tooling assets to further lower our cost structure, increase our competitive position and enable us to better serve our customers. Finally, we will strive to provide our people with the best equipment, tools, training and programs in order to keep them as safe as possible. On behalf of Paul, Rick and myself, I'd like to thank you for joining us on the call today and for your continued confidence in our ability to successfully and responsibly grow our company. I look forward to updating you on our progress next quarter. Operator, we are now ready for comments and questions.
Operator: [Operator Instructions] And our first question comes from Alex Rygiel from FBR Capital Markets.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: I don't want to beat around the bush here. It was a great quarter, it's the end of a great year, so congratulations on that. But I do think a lot of people on this call are going to be curious about backlog and the decline sequentially. Is -- should we think about backlog differently today than maybe a number of years ago, given that the shift in opportunity is more towards small- and medium-sized projects today that may not spend much time in backlog, and therefore, at least in the near term, cause any kind of backlog analysis to be somewhat irrelevant?
William A. Koertner: Let me start out Alex, and then maybe Rick will be able to supplement my comments. Certainly, backlog is important. It has shifted, and the fact that there aren't as many large projects out to bid, as what we experienced, like in late 2010, early 2011. There's still a number of them, but as we've indicated on prior calls, that level of activity was pretty unprecedented. There are more small- and medium-sized projects available. So certainly, backlog is important and we're focused on building backlog. But in -- it's a little different in our situation since we don't necessarily account for backlog like others, and there isn't consistent reporting between contractors. And this is definitely not a GAAP reporting standard. So backlog is definitely important, and we're working on it. And I don't know Rick, you got anything to add to that?
Richard S. Swartz: I think on the side -- as far as backlog relates, it's something we're constantly monitoring, we're looking at. We're not dependent on one project. I think that's the beauty of how our company is put together. Overall, we've got a portfolio of business, so it doesn't stand on whether we win or lose one project. We've been able to deploy a lot of our key resources to other areas to work on. And the key is always to get them back to the areas they're from, where they have a base of family. That's where they want to head back to, so we do have the resources available to go back into those areas. But we can compete, from a business standpoint, on going after profitable work. So that's really our focus.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And secondly, as it relates to CapEx in 2013 and your forecast for 2014, I know you spent the last couple of years spending a higher level of CapEx to buy equipments for sort of a surge in the transmission revenue that you've seen over the last couple of years. But it seems like in 2014, you're projecting a CapEx level at still a very high pace. Can you comment on that as it relates to maybe sort of your outlook for transmission revenue in 2014 versus '13?
Paul J. Evans: Alex, let me take a shot at that. So when we set our capital budget late last year, obviously, we look forward and we'll think about the distribution opportunities, the transmission opportunities and C&I opportunities when we set that budget. And so I think the budget that we put in place and the comment that I offered is a reflection of our view of the market opportunity out there for us.
Operator: Our next question comes from Dan Mannes from Avondale.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: So I want to follow on first on the question on backlog, and I'm sure I'll be not the last person to beat this horse. But given the current structure of backlog and the fact that it's a little bit more tied to shorter-term projects, what does that mean for you guys as it relates to your visibility on the business, vis-à-vis where you were last year? And also in terms of maintaining high utilization, I'm just trying to -- I mean, the value of the backlog, to the extent it's longer term, is it gives us visibility. But I'm wondering if there is any advantages or any -- if you could give us any more color on how you think about it.
William A. Koertner: Dan, the visibility of the backlog, we definitely have lots of projects out in front of us that we're bidding. We've got a number of pending bids, so that visibility is, I think, is good. We'd certainly like to get some of the awards that we've got pending and maybe the concern on backlog wouldn't be as great. But time will tell whether we're successful there. What we definitely have is steady stream of bidding opportunities. They're not universally across all areas of the country. Certain areas of the country have more opportunities than others. But I'd say the visibility is pretty good.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. And then real quick, if we could talk on the margin side, both gross margins and operating margin. In the fourth quarter gross margins, Paul mentioned, I think, about an 80 bp benefit from better project execution. Number one, how much is that tied to a couple of projects, especially in the large side that are mostly complete now? And then two, the operating margins, you actually saw some contraction there. I think you mentioned some legal costs. Can you carve that out for us and maybe give us a little more color there as well?
Paul J. Evans: Yes, Dan. I think in total, it's probably about $3.6 million in legal reserves and expenses, primarily related to some ongoing litigation in Florida. But for that, that cost and reserve on a year-over-year basis, so our SG&A was flat, so obviously, where SG&A falls, that's going to impact your operating margin. So I feel pretty good about where our SG&A levels are. They're in a pretty good predictable range right now.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: And then in terms of the gross margin in the quarter?
Paul J. Evans: I think our gross margin for the quarter was a good number. I mean, obviously, we've benefited somewhat from -- as large projects, as we see the light at the end of the tunnel. But I mean, it's all really tied to good contract management, good project execution. Some of those projects still have some ongoing sort of cleanup issues. They're not totally done in that sense. But it wasn't all from just a few projects.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. And then sorry, just one last clarification. The $3.6 million, is that a full year number? Because I think you did have the reserve in the third quarter that was about $2 million.
Paul J. Evans: Yes, I think I probably talked in full year. I'm talking in terms of the K, what we've said in the K. I don't have the K right in front of me, Dan, but I think from memory, I think that's what was in there.
Daniel J. Mannes - Avondale Partners, LLC, Research Division: Okay. And then, the last piece is any material increase in spend as it relates to some of your new project growth. And moving into some new markets, we haven't really seen it hit your numbers. We're just -- I guess, I'm trying to look forward and wonder if there is really a cost and whether it's moving to California or Canada or any other markets you're moving into.
Paul J. Evans: I mean, obviously, you're going to have cost if you move into markets. I don't think they rise to the level of deemed material right now. But -- I mean, what you have to understand if we're going into those markets, we're going into those markets to make a profit. So we think about our return on investment as we go into those markets.
Operator: Our next question comes from Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is, can you give us an idea -- as the contributions from large transmission projects might be a little later on in the year, are you going to be able to keep EBITDA at least flat, given C&I and distribution and maybe the mid- to small-sized projects are ramping up?
Paul J. Evans: Well, I think our expectation is, our goal is to grow EBITDA not just to keep it at a flat level or see it decline. So we're positioning our resources around the country for further growth.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: It's going to be pretty back-end loaded, or how should we look at it, given your backlog levels and demand adjustment?
Paul J. Evans: Well, I think you're sort of getting to the world of guidance, and then I don't think we'd sort of put out and tell you distribution of our EBITDA throughout the year.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. And as you said on a lot of matrices you folks look, as you have some of the best returns, your valuation puts you on an EBITDA level at 5x keeps us in the space by a notable amount. Your balance sheet is strong yet we don't see you doing any buybacks. Any commentary on cash allocation and how proactive you expect to get this year?
Paul J. Evans: I mean, the cash that we have on our books is there to grow our organic business. We think the opportunity is strong in front of us there. I mean, obviously where it makes sense, we'll use it for acquisitions, if it's the right fit for the company. And after that, we always evaluate our share repurchase program. I mean, we sat with our board at our last meeting and discussed it, and we'll continue to monitor that program.
Operator: Our next question comes from John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: One quick thing. In terms of the weather issues that we've seen in the first quarter, has that had a notable impact on your business?
Richard S. Swartz: On a few projects, it's had an -- some impact. We're dealing with the customers day-to-day on how we handle that, and how we're treated fairly for those bad weather. But we haven't seen it as anything substantial at this point, if you take the whole company as a whole.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, okay. In the end, I mean, either in terms of creating opportunities or deferring revenue, you don't see any issues there of significance?
Richard S. Swartz: No. As far as opportunities, there hasn't been a lot of storm work because of ice or that kind of thing. So though it's been cold, we haven't seen a lot of damage caused by the weather.
John B. Rogers - D.A. Davidson & Co., Research Division: And I appreciate your comments on the projects that you're tracking this year. But it seems that, unless those are awarded fairly soon, a lot of that work gets pushed out into 2015, or is that not correct? I mean, or would be realized in 2015?
Richard S. Swartz: Some of the projects I talked about will be realized. They'll start in '14, some won't start till '15. So it's kind of what we are talking about that it's kind of the ebbs and flows of the business.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And in terms of your capacity at this point, how would you characterize that, given the mix of self-performed and subcontracting work that you're doing now versus a couple of years ago?
Paul J. Evans: I mean, John, we have the capacity to take on more work. And as Bill said, here in some markets, our books are getting filled up. But in other markets, we certainly need to find more work to fill up our book. But we have capacity to take on additional work.
William A. Koertner: And, John, I guess I'd like to add I think the industry is better prepared today than what we were 3 or 4 years ago. As the transmission work started ramping up 4, 5 years ago, there was a real shortage of transmission alignment. And the industry has grown a lot of good people, many of which work for us. But generally, the industry has got more trained people that know how to build these big transmission projects than what would have been the case 4, 5 years ago.
John B. Rogers - D.A. Davidson & Co., Research Division: And Bill, has that had an impact on pricing versus what we saw a couple of years ago?
William A. Koertner: Well, pricing, that's pretty dynamic. The number of competitors, what they're willing to take these projects at, what risks they're willing to accept, that probably is more important on pricing than the productivity of the worker. I think productivity of the worker is probably somewhat better than what it would have been 5 years ago because they're now more experienced. I think all of the contractors have upgraded their fleet to have equipment that's more productive. So -- but that's just part of it, the productivity. The other part is how many competitors and where they're willing to take on these projects.
John B. Rogers - D.A. Davidson & Co., Research Division: I guess, Bill, that's -- what I'm trying to get at is that -- I mean, it seems as if -- and I know it's how revenue is recorded between subcontractors and self-performed, and there's a lot of private companies involved here. But I mean, it seems as if looking at you versus the public peers, that you're either losing share or you're not getting as -- growing as quickly as they are. And I'm just trying to understand if that's having an impact on pricing in the industry. I mean, there are -- are others just getting a lot more aggressive in chasing work?
William A. Koertner: We obviously can't speak for others. We try to get debriefings on projects that are awarded to other contractors, but rarely do you get exact information about how close you were, how far apart you were. Some other contractors have been particularly aggressive in this market. And I think we're aggressive when we need to be aggressive, but I really can't speak for what other contractors do.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. But you haven't seen a deterioration in the pricing in the work that you're winning?
William A. Koertner: No.
John B. Rogers - D.A. Davidson & Co., Research Division: Is that fair?
William A. Koertner: That's fair. And we take on projects, some really skinny margins, others average margins, some with premium margins based upon what really fits our company strategically. So the thought process we go through on bidding work and how aggressive we are is we try to be strategic in how we look at those opportunities.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And then, just lastly if I could. In terms of acquisitions, you've started to some expansion and, I guess, small acquisitions. But what's the market look like for you there? I mean, are there opportunities that we're going to see in 2014? I know they come when they come but...
William A. Koertner: I mean, yes, there are opportunities and I had one follow-up thought on your earlier question relating us to some to some of our public peers. We are currently not in Canada. Some of our public company peers are in Canada. Certainly, Canada has had some good opportunities. So to the extent those projects might be and their numbers, whereas we don't have them, that could represent a difference. On your acquisition question, we get 2 or 3 pitch books every week. We're trying to be a little more -- we're trying to be more proactive and disciplined in that and look at the things that we want to look at as opposed to what different bankers bring to our attention. So there are opportunities out there, some of which are, in our opinion, overpriced, some of which I think makes sense for us, and we're just trying to be smart as we invest shareholder money.
Operator: Our next question comes from Andy Wittmann from Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Maybe the first one for Rick, can you just maybe refresh us a little bit about the large projects that have wrapped up? And maybe which ones are still up and when those might be wrapping up this year?
Richard S. Swartz: As far as projects that are wrapping up or in the final stages, the Nevada ON Line project, that one's in its final stages. We're just doing final cleanup on that one; and CTT, we're doing final cleanup on that project. So those are the 2 that are finished. The others are ongoing and we'll finish up during the 2014 build season.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: And that's what, Central Maine? And what else?
Richard S. Swartz: Central Maine, Dominion, ITC. There's phases of that, that continue into next year. So that one will continue on, so that one will not finish this year.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay, all right. And then, just kind of stepping back, looking at backlog relative to the revenue that you guys have generated subsequent over the last 4 or 5, 6 years, it's about -- your backlog is about 1/2 the revenue that you generate in the 12 months. In more recent years, when you've been doing larger projects, it's -- the backlog is, I guess, less as a percentage of revenue. But -- or I guess more as a percentage of revenue. I guess the question is, with the projects that are in the backlog today, do you see any material change from that kind of long-term average of 50% of your backlog being relative to the revenue?
Paul J. Evans: I mean, you're sort of going backward in time and deriving a value. It mean, it's an interesting exercise to do that. I mean, our backlog today is more a reflection of the work off of the large projects, but we turn a lot of revenue inter-quarter from small- to medium-sized work. So it's harder to say. I think when you're going in and you say okay I am going to take this backlog number today, multiply it by 2 and, therefore, that is their revenues for the year. I would advise you not to do that.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Yes. Well, that's I'm saying. I don't think that's the right thing to do, and it sounds like you think there's a fair amount of book and burn that can kind of turn this year that suggests that there's kind of upside to that long-term average.
Paul J. Evans: Yes.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then, just relative to the margin potential, I guess 2 ways of looking at it. With backlog down, is there a risk that you get margin deleverage from equipment underutilization this year, or at least less utilization than in '13? And how does the mix with C&I growing much more rapidly than T&D affect your outlook for margins for '14?
Paul J. Evans: I mean, I have, in the past, offered a view on a short-term basis where I thought margin was going to be, like I said in the past, over the next 6 months. I'm not sure I'm prepared to offer that today. But you've asked a number of questions there, let's talk about equipment utilization. It certainly -- it's easier to place a piece of equipment on a project for 2 to 3 years versus deploying a project, a piece of equipment for 3-month project or a 6-month project. So obviously, we have to be on our game for that. As far as the increase in C&I, what does that mean to our overall margin? We're actually seeing some margin expansion in our C&I business right now.
William A. Koertner: Yes. I've got an added thought there. We don't -- we own a lot of equipment. We don't own it all. We've got a lot of rental pieces of equipment. So as the work comes and goes, we try to be smart on which buyout options we exercise, which ones we don't. So certainly, equipment utilization is an important factor on the profitability of the company. So I guess, that's number one. Two, we do have a lot of rental equipment. And if we don't have a home for it, we will shed those assets. We do have a couple of situations where some of those rental purchase agreements might be in the money, and we may exercise them and then auction the equipment off if we don't need it. And so, I think our strategy of not buying everything is appropriate to allow us to right-size our fleet.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: That makes sense. Maybe one other question, for you, Bill. I mean, in the past, you've talked a lot about how your key people are really important to the franchise. With some of these jobs wrapping up, can you just talk about your ability to have work for your key linesmen, foremen and that you just kind of secure them and keep the franchise intact?
William A. Koertner: I think Rick probably be better able to answer that. Go ahead, Rick.
Richard S. Swartz: Yes. I haven't had a problem keeping our key teams in place. We've dispersed them to other areas where we -- where we actually have work picking up. As I said earlier, the goal is to send them back to the areas they're from where they want to live long term as we pick up backlog in those areas. But we haven't had any problem losing key employees at all.
Operator: Our next question comes from Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: I just wanted to talk a little bit about your expansion into Canada. Obviously, a lot of opportunities up there. We hear that sometimes it's better to have a Canadian kind of base to the business. Can you just talk a little bit about your expansion strategy, if you think you have the right relationships up there to grow that business, or if you feel that you have to make an acquisition to really bolster your presence in the market?
William A. Koertner: Noelle, we're building the relationships up there. I wouldn't say we got all of the relationships established that we want, but in certain areas, I think we've got a good foothold or at least a toehold in terms of relationship building. We've also done some recruiting of people. And we have talked to parties up there that might be acquisition candidates. So we haven't ruled out anything. We're trying to be smart as how we approach it. But there definitely is a lot of work up there. We do have some pending bids that we're waiting on answers for. So we are going after that market.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay, great. And secondly, Paul, could you talk a little bit about your expectations for material and sub costs in 2014 for both of the businesses?
Paul J. Evans: What I'd say there is it's not really highly variable quarter-to-quarter so I offered up on a consolidated basis where the level is. I don't have perfect visibility on our customers. What -- some customers will say, we want you to run subs and material through our books versus the customer managing itself. So for quarter-to-quarter, I'd direct you to our presentation that we have on our website and use that primer on the last page to sort of bookend what's possible.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay, great. And then, just lastly, you talked about seeing some margin expansion in C&I. I know you said you don't want to really give guidance for the next few months. But -- for that 6 months. But just looking at the strong margin in the quarter, I mean, was there anything onetime or favorably -- that favorably impacted the margin? Or do you think you could, this kind of level, could be sustainable?
Paul J. Evans: I wouldn't characterize C&I as a bubble. I'd characterize it as a market returning to levels that we saw in earlier years. It's a growing market for us.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: But particularly on the margin?
Paul J. Evans: Well, I think the margins are improving in that market, but I don't -- I wouldn't characterize it as a bubble.
Operator: Our next question comes from William Bremer from Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: My first question. Can you give us some color on subsequent to the quarter? How's the backlog looking at this point in -- primarily in T&D?
Paul J. Evans: Well, I think what we've said is that we have a number of small, medium and large bids that are pending, and those results will be forthcoming at some time. So -- but to give you a specific color on have we booked any large awards, and we'll tell you about at the end of Q1. This is not the time to talk about that.
William D. Bremer - Maxim Group LLC, Research Division: Okay. And maybe, can you give us a little color on the magnitude of the book and burn projects that occurred in this last quarter? Just give us a sense of that.
Paul J. Evans: I don't -- I'm thinking about how to answer that question. That the magnitude of -- I mean, obviously, our book-to-bill in Q4 wasn't what we would like it to be. I'm always striving to see it over 1, but it wasn't in Q4. So it's hard for me to sort of break it down to tell you the magnitude.
William D. Bremer - Maxim Group LLC, Research Division: Okay. And I know you voiced a little bit about weather issues. This first quarter, we're going to have some again, just given the pattern that we had and the events that we had. Can you give us a little color on maybe the -- your type of exposure maybe on Emergency Restoration or some of the projects that you're working on throughout the first quarter?
Richard S. Swartz: As I said earlier, we haven't seen a lot of storm work out of the weather we've had. There's been a lot of cold weather, heavy snow but nothing that we've seen really any high amount of storm at all. Its effect -- it's had an effect on a few of our projects but not all of them, so we don't see any, I guess, big dips based on weather as an overall market of what our company does.
William D. Bremer - Maxim Group LLC, Research Division: And then, lastly, just on your employees, can you give us a sense of labor rates right now?
Richard S. Swartz: It varies by geographic areas. Some areas are extremely busy. There's high per diem being paid to attract people. Other parts of the country, we don't see that same, I guess, push on wages.
Operator: Our next question comes from Craig Irwin from Wedbush Securities.
Craig E. Irwin - Wedbush Securities Inc., Research Division: So in the past, there have been a number of occasions where you've talked about mobilizing assets for customer projects before they're formally backlogged, before they're formally released, committing resources to do some of the prep work, set up the yards and do the final survey work and everything necessary to really hit the ground running, some of it, which I believe has generated revenue before the official award in the past. Can you update us maybe on that list that you spelled out for us? How many of those you have similar sort of customer relationship with? And if there is potentially any revenue that's already being recognized today on the prep work from these projects?
Richard S. Swartz: We work with many clients trying to establish relationships to do things, but we don't release anything or count anything really before we have the job booked.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Okay, okay. Then, if we look at the list that you shared us -- shared with us, can you maybe give us a little bit of color what you might need out of the list? What portion of the listed jobs you might need to see materialize before the summer to report revenue growth or flat revenue year-over-year? And are we likely to see a similar margin profile on these jobs versus in the past when you've had very large projects with lower margins at the very early stages ramping up, obviously just some nicer margins like what you saw this past quarter?
Richard S. Swartz: I don't see any of those jobs as a must-win for us. It's not that we're dependent on one job, so when we look at that list of work that's out there, and the way I look at it is, I look at it as there's some jobs we would like to have. There's some ones that definitely fit us, but none of them are must haves. We have a portfolio business, so overall we're trying to balance that out and build our overall business. And as Bill said earlier, backlog is important to us, but it's not -- we're not chasing backlog for the sole purpose of chasing backlog.
Craig E. Irwin - Wedbush Securities Inc., Research Division: Understood, understood. So then, this last quarter, you obviously saw a very nice pickup in the book and burn, or at least that's what it looks like if we analyze some of your projects that you've been earning revenue on and the completion profile. So is it possible for you guys to have a growth year in '14 based just on the small- and medium-sized T&D projects that are much faster book and burn? And then, maybe you might not need some of these large projects to actually drive flat or growing revenue and EBITDA?
Paul J. Evans: Craig, I mean, obviously, it's possible that could happen. We set our budget for the year, and we're looking to, and as I said earlier, in some places, our book is getting filled up. In other places, we definitely need work. Those projects that Rick had mentioned are examples of projects that we're tracking closely. We'll certainly be active bidders. Some are better fit than others for us. And again, I think the message you got to take from this is, we're not solely dependent on whether or not we win or lose one of those projects.
Operator: Our next question comes from Cezarin Edeke [ph] from Schroders.
Unknown Analyst: I'm kind of listening to all the questions. Just want to kind of look back on the T&D, and I kind of quickly run through some numbers, and it seems your bookings for the quarter were below 100,000, seems weakest since 2009. Your book-to-bill, 0.46, weakest since 2009. Backlog less than 1/4 of revenues. As revenues adjusted from materials and subcontractor, you're down year-over-year for the quarter. It doesn't feel like 2009 out there. Listening to your competitors and taking into account Bill's comment about Canada, it doesn't feel like 2009 in North America or the United States. What is it about you guys different than maybe the industry? I mean, is it margins? Are you holding out for margins for the end of the year? Is it the coverage? Is it skill set? Is there something missing that seems to make your backlog and your bookings trend differently than the peers?
William A. Koertner: I can't really speak to the peers. Obviously, the fact that we're not in Canada today, that would certainly account for a part of it. Some of the peers that I think you're probably comparing us to are also in the gas pipeline business. We're not -- some of them were in the telecommunication business. We're not, so...
Unknown Analyst: I'm just trying to compare just the segments, at least in the ones that actually break it down that way. I mean, it just seems we're getting to the point where your backlog, from investors' perspective, it's a tight managing act, and you got a lot of these questions about deploying assets for the next few quarters. To get to that point, it just seems there's something different. We don't see these levels of backlog and even taking into account the difference between what you account for backlog. People managing it that tightly.
William A. Koertner: Well, again, we don't know what our competitors are doing, what portion of their backlog relates to Canadian work. At least, I've not seen that split out. And certainly, some of our competitors are being maybe more aggressive on the price side than we've been today. So there's really not an answer to your question.
Unknown Analyst: All right. Then, I'll ask differently because I think this is not helping us. Does it feel like 2009 out there for you from your customers' perspective? I mean, is this really an environment where people pulled back on all these orders that your indicators are kind of in line with 2009? You grew assets, you doubled your PP&E, you grew employees. I mean, you have a much bigger skill set today than you had in '09.
William A. Koertner: Well, it's true, what was happening in 2009. We did have some customers pull back, that have deferred things because of the fact that the financial crisis impacted them somewhat. But probably more than that was just the getting the permits to do these jobs. I don't think any of our customers or prospects stopped new construction work in 2009 because they didn't have the money. I think it was maybe a factor, but much bigger factor, were they aware with permitting?
Unknown Analyst: Well, I'm talking more about booking and backlog, so my comments don't really touch on revenue at this point. Does it seem to you like we're in a similar environment than when we -- back in 2009 when it comes to booking new job releases and new request for proposals?
William A. Koertner: My reference point is 2010. It doesn't feel as good as it felt in 2010 and early 2011, so that would be my reference point. 2009, I can't really remember what it is we were bidding at that time. We were certainly qualifying for a lot of these large projects that materialized a year or 2 after that. And I'd say that feels the same to me. We're certainly positioning and trying to qualify ourselves for a lot of the large projects that Rick talked about. But the big bidding activity was in 2010 and '11.
Operator: Our next question comes from John Braatz from Kansas City Capital. Our next question comes from John Rogers from D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: I just want to follow up and I don't know, Bill or Rick, the market right now that you're seeing on the T&D side, is there a significant change in the types of projects that are out there and available? And I'm thinking large interstate transmission lines versus smaller projects, repowering of lines versus upgrades, wind power versus, I don't know, powering coal plants. Are there significant changes in the market that's affecting your opportunities?
Richard S. Swartz: Well, I think I went over a lot of large projects that are coming up, and I think that side of it, as Bill said, is tied to a lot of permitting and some of those projects get pushed out. And there's really, as he said, it's not because there's not enough money or funding for the projects, it's really based on permitting. But we are seeing what's in our bid cycle right now and, probably for the last 6 months, an increase in bidding activity on small, mid-sized projects. And we're also seeing an increase on a lot of our master service agreements across the country. We were adding additional crews and equipment to that. And that's really inter-quarter burning so it's really not reflected in the way we count backlog compared to how some of our competitors may.
John B. Rogers - D.A. Davidson & Co., Research Division: And is that MSA work significantly different than what we saw in 2013?
Richard S. Swartz: I think I can say, in many areas, we're seeing an improvement on that side. People are starting to spend money in that area again, and it's nice to see.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And in terms of the large project work, I mean, you always -- the teams run the risk of projects getting delayed by local permitting issues, right of way access, that kind of thing. Are you fairly comfortable with this project list that they'll actually start up on schedule?
Richard S. Swartz: I think some will, some may get pushed out a little ways and then there'll probably some that enter the picture that's really not on anyone's radar screen right now, that'll happen. So I think it's a mixture, if you look at what happened in 2010 when those projects came out in '11. Some of those had been forecasted to come out years earlier, some of them were forecast to come out a little later. So I really can't -- I mean, I'm comfortable with the list, I guess, overall.
Operator: Our final question comes from Noelle Dilts from Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: Just a quick follow-up. You talked a bit about where you're seeing some of the opportunities on the large project transmission side, but just from a geographic perspective, could you talk about where you're seeing some of the strength in the small to medium projects, if there's certain regions that are more active?
William A. Koertner: I'd say both in the Midwest and the Northeast areas we're seeing significant increase in activity.
Operator: Thank you. I'm showing no further questions. I'd like to hand the conference back over for closing remarks.
William A. Koertner: Well, I'd like to thank everyone for participating on the call. We certainly remain enthusiastic about the opportunities for MYR in the markets we serve. We got a great management team and employees that are working hard to produce for our stockholders. So I don't have anything further. We look forward to getting back on the phone with you folks in the end of the first quarter. Thank you.
Operator: Ladies and gentlemen, thanks for participating in today's conference. This concludes our program. You may all disconnect, and have a wonderful day.